Operator: Good day and welcome to the ANGI Homeservices Q2 2018 Results Conference Call. At this time, I'd like to turn the conference over to CEO, Glenn Schiffman. Please go ahead, sir.
Glenn Schiffman: CFO, Glenn Schiffman. But, thank you. Thank you, Operator. Good morning, everyone. Glenn Schiffman here, and welcome to the ANGI Homeservices' Second Quarter Earnings Call. Joining me today is Joey Levin, Chairman of ANGI Homeservices and CEO of IAC; and Chris Terrill, CEO of ANGI Homeservices. Joey and I will also address any questions you may have on IAC's second quarter results. Similar to last quarter supplemental to our earnings releases, IAC will also publish its quarterly Shareholder Letter. We will not be reading the Shareholder Letter on this call. It is currently available on the Investor Relations section of our website. I will shortly turn the call over to Joey to make a few brief introductory remarks and then we'll open it up to Q&A. Before we get to that, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar such statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in both IAC's and ANGI Homeservices' second quarter press releases and our reports filed with the SEC. We'll also discuss certain non-GAAP measures, which as a reminder include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our press releases and again to the Investor Relations section of our websites for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Before we jump into it, I wanted to wish Joey a happy birthday today. So take it easy on him, please.
Joseph Levin: Thanks. My wife asked me what I want to do for my birthday today and I said, 'So long as I spend the day surrounded by all of my closest analysts. It will be a happy day.' I think we had an incredible quarter this quarter and a great start to the year and we're excited to talk about it. So let's start with the questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Anthony DiClemente of Evercore.
Anthony DiClemente: Good morning. Happy birthday, Joey. Thank you for taking my questions. I have two, if I may. First off, on ANGI, you increased the effective service capacity by 31% in the quarter, an impressive number. It just seems like the company is resolving the supply side in capacity issues, the new opt-in products increasing, the monthly caps and adding new service provider. So I just love to hear about that if you could talk about that, how those are trending as we head to the back half for ANGI? And then secondly on Vimeo, in the quarter, revenue growth is exceeding sub growth, a strong revenue growth quarter, but what we want to ask about, it's a runway in terms of revenue per sub or ARPU. When should we expect sub growth to inflect upward and are you guys tracking on that previous $125 million revenue guide for Vimeo, I think for 2018? Thanks a lot.
Christopher Terrill: Hey, Anthony. This is Chris. I'll answer your first question. Capacity has been a huge win for us. It's an area that we've focused on and I get a lot of questions as to why capacity now and why have we not done this in the past, and the reality is we have tried this in the past. The difference is the high quality of SRs coming through our branded channels, coming from Angie's List have really changed our ability to have a completely different conversation. When we tried capacity expansion years ago, we were trying to push service providers in the areas they didn't really want to be in. We were trying to get them to do tasks [ph]. They weren't that interested in. So now, the conversation is a much different conversation. It is about 'I can give you more of what you want and what you like to do in either the areas you're already in or in areas, job that you may be doing that may be close to an area you typically work in.' That has changed our ability to have that conversation, set those caps and have those caps stick. So it has been a huge sort of awakening for us in many ways and we've taken advantage of that whether it's on a new sale, expanding the cap for someone coming in that's new or on existing service providers, their end-month spin. So both of them highly effective. We think we'll continue to optimize that over time. We'll continue to lean into it. Both are going quite well and we think this is a big part of our long-term goal. It doesn't mean we're not going to continue to add. Nominal, we will add nominal, but this opportunity to expand capacity, a point in time when we have such high quality SRs coming in has been a big move for the company.
Glenn Schiffman: Look, Anthony, this is important to note and you saw it in our letter. Our opt-in product is actually outside of cap. So that is not included in the 31% increase in cap that you reference in your question and we referenced in the letter. In terms of the roll out of that opt-in product, in May we rolled out the 75% of the markets; in July we got to 100% of the markets. Now, even though we're in a 100% of the markets, that represented only about two-thirds of our service request. Our service request come in in different ways. We'll probably get to a 100% of service requests in August, which is why you see obviously the revenue acceleration in our guide in the third quarter and obviously rolling into year-end. So the opt-in product, we enjoy obviously a revenue uplift in the second quarter and we will enjoy a revenue uplift from that in the third quarter. Obviously, you see all of the efforts in our revenue per SP which proves 7% this quarter for record, 1,000 and I think 16 and I think that number was 3% last quarter. In terms of Vimeo, I'll turn it over to Joey.
Joseph Levin: Thanks, Anthony. On sub growth, there's a bunch of things that drive sub growth. So international is one. We've talked about this a lot. Our international audience is big, our international users are big, half of our subscribers are outside the U.S., but our marketing outside the U.S. is still very nacent, we've been slowly getting our way into this and learning things as we go. I think we've learned some lessons recently and we're continuing to improve on this international marketing, but I think there's a real opportunity for us in localizing the product in the marketing in a way that I think will be really compelling and drive the product. The other thing we've talked about is the enterprise sales. Enterprise is varying for us. We now have an enterprise sales team who is out calling on enterprise accounts and having real success in doing that and that gets to your answer on subs versus ARPU and enterprise account can be worth 1,000 basic or plus accounts. So as we put enterprise, that will be less about nominal subscribers and more about ARPU. We're talking about enterprise accounts, it's in the neighborhood of $1,500 sale as against a plus account, is I think $60 or $80 a year or something like that. And the other piece is product and we continue to innovate in product. The most basic innovation in product for Vimeo is continuing to evolve the platform to focus on the creators. Less about the showcasing of videos for Vimeo's benefit and more about showing creators and the video owners the tools that are available on our platform and that applies to our website, that applies to our apps. As we evolve those things to really focus on that part of the business, we're seeing nice results there. So I think all of those things will be drivers and I think as we release more products to the users, ARPU will go up, both because of mixed shift to enterprise accounts and because of adding more products. And in a lot of our ARPU move is giving people incremental services for incremental cost. Not so much price increase. We have increased some price. I think we have potential on price, although I don't think we've optimized that. It's really more about incremental services for incremental value. On the $125 million revenue guide, I think we're pacing comfortably ahead of that right now.
Christopher Terrill: Yes. We're $63 million year-to-date. You see we get there by the 11% subscriber growth that we clocked [ph] this quarter, plus we referenced in the letter 15% ARPU growth and accelerating revenue growth is 28%. So if you look at the 28%, plus the $63 million year-to-date, I think we are in-line for the $125 million. On the last call, Joey said we'll do better than that and I think Joey is right.
Anthony DiClemente: Sounds good. All right. Thanks.
Operator: Our next question comes from Eric Sheridan of UBS.
Eric Sheridan: Thanks for taking the questions. Maybe two on ANGI. One, any update on the international opportunity pace or cadence of investments to tackle that opportunity and how we might see it play out with P&L over the next couple of years. And with respect to local broadly in this service providers space, clearly a lot of other companies have also mentioned competition and getting into the space. What's the competitive intensity like? What does it mean for the need to spend on marketing against the existing brand streams you already have in the market? Thanks so much.
Glenn Schiffman: I'll start on that one and then Chris and Joey will add to that. On international, this is a long term play and it's just like HomeAdvisor really was a long-term play. Took a lot of years to get the entire flywheel going. I think that we have real advantages from that. We have real learnings from that. But still, at every market that we're in internationally, if it's own market -- and we need to get the supply ad demand side to scale and have the product working between those things and that takes time. I think we're best measured in years, not months. I don't think it requires a significant incremental investment. We will invest there, we will continue to invest there, I hope we have opportunities to invest more there, but I don't think you should expect a dramatic increase in our investments there but I do think you should expect that it will take a while for us to get the flywheel going overall internationally. On competition, I'll turn it to Chris. We watch the competitive landscape closely. I think that from a very macro perspective, this is an enormous market and still barely penetrated if you look at all the players in aggregate. And I think we see a lot of opportunities. Chris can add to that and talk about who or what we see.
Christopher Terrill: I've been there for a while, used to see a lot of small players try to come in. I think it's getting harder and harder for smaller players. They're just too expensive, too difficult to build the sales force, too hard to build liquidity and that leaves the larger players that have been around for a while and we continue to not really bump up against them that much in the marketplace. As Joey said, this is still a relatively under-penetrated category. I think there's lots of room to run and I think as we create better and better products, better experience, drive better ROI for our service providers, I'm not concerned about what the competition is doing out there.
Joseph Levin: Yes. We've talked many times about remote. It's our sales force, it's our SP network, it's the quality of our SP network, it's our operations team. We're still calling back 50% of the service request. It's 6.8 million service requests this quarter. That's $3.2 million calls and human connections. Obviously it's our advertising and our marketing investments and it's the product and the products that we're innovating around.
Christopher Terrill: Even as we merge with ANGI, they overlap with a relatively small overlap. I think that just demonstrates to Joey's point how large the market is, how big the opportunity is. I think we're much more concerned with what's going on, getting all those service request that are offline to come to online which is a huge opportunity in having a brand and the products to satisfy those offline/online SRs and getting more service providers and it's really what we're focused on.
Glenn Schiffman: And we can't overstate the importance of an active engaged nationwide service professional network. Both the importance and the difficulty of building that, taken as a very long time and it's critical for us in all regard with -- especially for our ability to innovate in product. The opt-in product that we've talked about, that is only possible -- was only possible and it's a product we dreamed about, Chris has dreamed about for since he started here, but just couldn't be delivered until you have the liquidity and the network and those kinds of innovations are the things that we're pretty excited about with that event.
Eric Sheridan: Great. Thanks for the color.
Operator: Our next question comes from Douglas Anmuth of JP Morgan.
Cory Carpenter: Hi. This is Cory Carpenter on for Doug. Thanks for taking the question. On ANGI Homeservices, you should significant upside on profit in the quarter relative to your guide. Could you discuss some of the drivers here and then maybe related to that, Glenn, could you help us on where you stand within the three synergy buckets and how you're tracking versus the initial expectations you lay out? Thanks.
Glenn Schiffman: I'll do both of them. In terms of deciding profit, look, we're seeing a lot of strong margin flow through. Margins you saw went from 10% to 23%. That's just the raw operating leverage in the business and the two answers tied together here. Revenue grew 63% and that X marketing spend just grew about 55%. That's one. Two, marketing alone drove nine points of margin out of that 10% to 23% lift. And then remember, on these revenue expansion initiatives, those are high margin products. The opt-in product we're selling unsold inventory effectively and on our upsell, there's little attending costs associated with that. So you see in our guide for the rest of the year continued slight margin improvement, continued strong EBITDA conversion, I think we converted 45% of revenue to the EBITDA line and we think that will continue and increase. In terms of synergies, your second question -- we're definitely ahead of the $100 million that we articulated would be in 2018 and we have a clear path to the high end of the range over a multi-year period. What has become difficult to do is dissect and put the synergies in each of the three buckets that we articulated because we're running the business on a more integrated fashion, we're making decisions across the two properties and it's just difficult to keep true to the buckets that we articulate about 18 months ago. Our business is just more dynamic than that. There are so many examples. I'll give you one. Chris talked about it, I think on the last call, which we're increasing the marketing spend against the Angie's List website. Why? Because we're having great ROIs against that. That does sacrifice in some respect near-term bucket one synergies, but drives bucket two synergies. So we're seeing a little bit of co-mingling of the buckets. Again, we're ahead of the low-end of the range, have a path to the high-end and that $100 million to $250 million of synergy, that underlined and under-pinned our 20% to 25% revenue taker that we articulated and still absolutely stand by articulated in May of last year and the 35% long term margins for the business -- again, depending on the investment choices we make. How we feel about the acquisition, Joey said in the letter, we're ahead virtually across the board. We nailed the expense synergies as we've talked about that. Of course it's locked. We think over time, we can grow the Angie's List business given the revenue recognition dynamics that probably doesn't show up till 2020. The economies at scale are more pronounced than we thought. We're seeing that in our margins. The traffic synergies are higher. That's driving liquidity. Liquidity is driving innovation as Joey and Chris just talked about in terms of our opt-in product and that enables us to invest in category expansion. That's really what we're all about here and what this merger was always about is category expansion, driving this business. We're so under-penetrated in this market of $400 billion TAM. And I think as we scratch and claw and we continue to see our position in the marketplace, we think that TAM actually will grow. There's more and more things we can do on top of our existing services.
Cory Carpenter: Okay, thank you.
Operator: Our next question comes from John Blackledge of Cowen.
John Blackledge: Great. Thanks for the questions. On Publishing, Ask & Other posted revenue of nearly $100 million. This was almost double versus last year. Just wondering key drivers and margin profile for that business and bolt-on longer term growth. And then on Vimeo, how many enterprise sales people right now and how should we think about the sub mix, like enterprise versus everyone else over time? Thank you.
Joseph Levin: Sure. On Publishing, Ask & Other did have great quarter that is driven by a lot of things, but really that business is a marketing-driven business. When they see opportunities in the marketplace to spend money profitably, they do and those opportunities were available in the quarter. I think a lot of things contribute to that. I think of healthy ad market, healthy economy if they're making margin on their advertising, just the fact that each of those things go up even if the margin stays the same. If prices are generally higher, that's a good thing for that business. And hiring [ph] -- the team is doing an excellent job. If we restructure that, what was it now?
Christopher Terrill: June of '16?
Joseph Levin: Yes. Two years ago and there's a lean and mean team there that's just doing an exceptional job. So there are margins there, there's healthy margins there. When you think about the future at another portion of publishing, we have experience and TAM continue to experience volatility there. Again, I think it's not an issue with our team and against the marketplace and the way that business works and sort of moving into and out of opportunities as they become available. So there is I think potential volatility in that part of the business, but what they're doing right now seems good and seems to be working. On the other side of publishing, the premium brands, that business, I think about differently and that is not at all marketing driven and on the monetization side that all those factors are much more within our control and I look at the outlook there and think very sustainable, lots of growth ahead and big opportunities there. On your question on Vimeo, enterprise sales as a percentage of totals, I don't know. I don't think we're disclosing that. It's just that how many people we have doing enterprise sales, I think the number is...
Christopher Terrill: 20 sales people and 10 account managers. These higher end sales as you know are collaborative sales.
John Blackledge: From the year-over-year ago?
Christopher Terrill: Yes. Coming back to your question on Ask & Other, in terms of defining, what Joey meant by 'lean,' our fixed cost in our Ask media segment are about 15% of total cost. Like never before as the ecosystem evolves and the volatility no doubt comes and goes, we could protect our P&L there and protect our profits there. That's as Joey said, attribute to the management team that's really got the cost structure in-line there. Overall, it's in around 10% more to this.
John Blackledge: Thank you.
Operator: Our next question comes from Brent Thill of Jefferies.
Brent Thill: Good morning. Just on Dotdash, Joey, can you just talk through the success you're seeing there and the contribution to the Publishing line? And I had a quick follow up on Vimeo.
Joseph Levin: Sure. On Dotdash, it's probably around more -- it's more than half of the premium revenue. Actually, Glenn told me now three quarters. Dotsdash has three quarters of the premium remember that is that now includes the Investopedia which we put underneath the Dotdash management and underneath the Dotdash umbrella. We think there's real synergy there. Think of Dotdash as three quarters of the premium revenue. Did that answer your question, Brent? Do you want to go to Vimeo question?
Brent Thill: Yes, that's great. Just kind of what you're seeing in terms the sustainability of Dotdash and what gets you excited in the back half?
Joseph Levin: Look, I absolutely think it's sustainable. I think I've given this stat before and it remains two again, so it's worth reinforcing it. The top 10 advertisers at Dotdash are now the same top 10 advertisers -- I don't know if there's the same top 10, but all have come back three quarters in a row. We've never seen that in one of our Publishing businesses before. Advertisers come in and advertisers come out. There's brand advertising, different people have different priorities. The advertisers on Dotdash are seeing real value in this inventory. It's to the point where they consistently come back. That of all the stats that we have gives me the most confidence in the outlook in that business. We talk about the way that business is driven and in the letter, that's three think freshest content, fastest page, fewest stats. Very simple. Very simple to say, actually not that simple to do, but if we continue to do that, then I think it's hard for people to take our audience away and it's harder for people to take our traffic. And if somebody is coming into this business, just a one-off person, it's very difficult for them to build the fastest site. It's very difficult for them to make the best content and it's very difficult for them to have an incentive to do that with the few stats. So long as we continue to lean into that, which is a religion here, a religion at Dotdash, I feel very good about the future.
Brent Thill: Okay. Thanks, Joey. And just a quick follow up. You mentioned in the letter how Vimeo is not a direct competitor to YouTube in terms of consumer eyeballs, but I think many of us have seen YouTube make bigger pushes around tools for creative pros, creating their own channels and merchandizing. Can you give us a sense of maybe we're hearing the noise from them, but you're not seeing in the field what you're really seeing differentiating in the results here.
Joseph Levin: Sure. YouTube's tools, I think are primarily about getting audience on YouTube and optimizing an audience on YouTube. We would be thrilled for our users, our subscribers to go get an audience on YouTube and be successful on YouTube. We're dealing with them generally before that or concurrent with that. As we talk about the letter, kind of the command center where they're storing their videos there, working on their videos there, collaborating on their videos. I don't think others offer the private workflow and team collaboration tools. I know they don't offer the private workflow and team collaboration tools that we offer where people are sharing links, reviewing rough cuts, working with their team on a video project. Those things are the kind of things that Vimeo offers uniquely. We talked about being an agnostic distribution hub that matters as YouTube, Facebook and Twitter or others battle out, kind of who wants to be the best video outlet. We love seeing that because we're saying to creators, 'Use our tool and use our tool in the background and then publish on all of them or publish alternatively where it makes sense. But use a tool that makes it easy for you to do that.' The other thing that we spend a lot of time and resources on and that matters a lot to our users is the ability to fully-control their brand and their viewer's experience. We do it as their brand and their viewer and that's something you can do with 100% [indiscernible] player. And I guess the last piece is people are building video businesses using our tools, but off of our platform. We've talked about this product, I think before, but a subscription does, but a product that allows a video creator to launch their own subscription product where consumers are paying the creator and the consumer, their customers are interacting directly. They're interacting by email, they're interacting by however they want to interact, but they have a one-to-one communication with each other or one-to-many communication with each other and the creator has that relationship with their audience. That's what our tools provide people. And I think those things are all unique to Vimeo.
Brent Thill: Thank you.
Operator: Our next question comes from Jason Helfstein of Oppenheimer.
Jason Helfstein: Thanks for taking the question. Chris, ANGI is playing out basically like you told us it would. You would pull back on marketing, you work on improving a supply side. You seem to be doing that. So help us understand as we move into next year, your thoughts around basically revving that marketing and what it means for the growth of Angie's List that we think next year for top line. And Joey, in honor of your birthday, I'm not going to ask about spinning off Match and I think the current flowed and the incentive to create an arbitrage through IAC makes sense for shareholders. We'll pass on this one.
Joseph Levin: That's an incredible gift, Jason. I just want to thank you for that birthday gift. It's the first one I received today.
Christopher Terrill: To answer your question, yes, this has been a really great effort to get supply back in line with where we want it to be. I think I've said this over and over again, as a business where you're constantly sort of see-sawing your way up and balancing supply and demand. As we get more and more sophisticated in understanding our ecosystem, as we get the network effects that Joey talked about, it is a constant battle. I think we will continue to invest up on either side of the business and both sides of the business simultaneously to stay in balance. I think Glenn said we'll head to that 20% to 25% growth rate and whether it is marketing opportunities or interesting product opportunity to merge, we'll take a look at what that investment means and how do we balance those things out. But I think on a go-forward basis, certainly as supply catches up, we have tremendous ability to lean into marketing. We're very sophisticated with our channel management and we'll continue to do that so that we'll stay in equilibrium and can deliver good ROI to the service providers and a good experience to our homeowners.
Glenn Schiffman: As Chris has always said, it will never have the marketplace in perfect balance. It's 500 different primary work categories across 400 different geos. Chris and his team are managing 200,000 mini-marketplaces. So you could be up, you could be down. But as Chris said, we're going to '19 in a much better spot. In terms of the revenue cadence, you saw our guide for the third quarter of 18%. We continue to believe we'll pierce through 20% in the fourth quarter and that will set us up real well for 2019, 20% to 25%. Given the force multiplier of our upsell efforts and our opt-in products, we'll probably see that more on revenue per SP. So higher revenue per SP because we really are doing a nice job of tapping into the latent capacity existing in our SP network. So as we are focusing on that latent capacity in the network, as we're focusing on the quality of SP, we'll probably SP growth at 15% to 20% again. But still consistent and with our strong 20% to 25% revenue growth on a go-forward basis.
Joseph Levin: Jason, by the way I didn't mean to cut you off, so if you had a question there, I'm happy to answer.
Jason Helfstein: No. We're going to give you a pass on the spinoff and Match for us.
Joseph Levin: Thank you.
Operator: The next question comes from Peter Stabler of Wells Fargo Securities.
Peter Stabler: Good morning. Thanks for the questions. A couple for Joey and Glenn on the video segment. When you hear about Vimeo and the news there is good. Yet the Electus and films and I think [indiscernible] is still in there, accounts for about half of that segment. I'm just wondering if you could help us think about modeling those businesses beyond this year, into next year. What kind of margin profile could emerge for those? And then have you guys considered splitting out Vimeo from that segment to better-highlight the growth and the underlying metrics and opportunity of that asset? Thanks very much.
Joseph Levin: So what else is in video? As far as modeling, I don't think you should count down the things outside of Vimeo in video for growth profits or frankly losses [ph]. There is one area where we are investing in the video segment outside of Vimeo and that is in CollegeHumor and a product that they're launching which we're putting a little bit of money into and going to launch that at the end of this year. It's a relatively small investment, but it is some net loss we're putting in there. The rep in terms of Electus and films is generally give or take breakeven a little bit. Some years we make the money, some years we lose the money. I don't think you should think about that as either a drag on cash flow or a contributor to cash flow and it's overall a relatively small effort. As far as playing out Vimeo, it is something we've talked about and it's something I think we'll probably do at some point, but I don't think necessary to do yet.
Operator: Our next question comes from Ross Sandler of Barclays.
Ross Sandler: Hi. Great. Joey, in honor of your birthday, I thought I'd ask about the negative enterprise value as far into the core IAC. Jokes aside, that spread has been pretty static for the last six or nine months or so and history would suggest at some point you guys will do something to unlock it. You've been doing buybacks which I think were good. But any additional thoughts outside of buybacks or the Match spin idea about unlocking that negative $2.7 billion that you flag in the letter? That's question number one. And then question two, just be back to publishing. You're coming up against some tougher comps dealing with the run off that Dotdash has had. As we look out into 2019, is this a 20% growth segment consolidated? What do you think is the rate steady state growth rate for consolidated publishing going forward?
Joseph Levin: I'll start with the second one and then come back to the first one. I do think that those kinds of growth rate you talked about are reasonable, but remember, I think we got to separate Premium and Ask & Other. I think Ask & Other could be volatile. That could go up meaningfully, it could go down. That one is a little bit harder to think on growth and so I don't like in the consolidated sense to give a growth number, but we would want and expect Dotdash to be growing 20% at least long term for a while. And then how that comes the aggregate, I don't know. I've done that math, there was not a way to do that math. I struggle to put a number on the Ask & Other piece. On the discounts, it is one of my favorite topics, but I think that one of the things -- I said a few things on -- number one, I think investors in IAC should count on us to do our best to execute, do our best to deliver, be consistent in our story, be consistent in our execution. So long as we're doing those things, we can do well by our investors. The moment in time optimizations, one-time optimizations of capital structure can happen, certainly have happened, are certainly think that we think about, but I don't think are things that in any particular short term period is something that people should count on if they're investing with us. I think they should count on execution at the businesses. The other way to address the discount, I think is for us to be delivering consistently and people, I would hope at some point would say that something in this umbrella will deserve a premium, rather than deserve a discount because it has the potential to more likely create value and grow over time that it might -- outside of this umbrella. That may perhaps be wishful thinking, but that's certainly one of our goals in the things that we think about.
Operator: Our next question comes from Chris Merwin of Goldman Sachs.
Christopher Merwin: Okay, thank you. Just two for me. First one on Vimeo, when we think about the longer term opportunity there, what are the key investments you're making to drive that growth? I imagine there are sales force, you have marketing and product, but how would you quantify or rank-order those investment opportunities? And then just a second one on HomeAdvisor, can you remind us what the percentage of bookings at HomeAdvisor are from instant book and instant connect? I think the last number you gave was around 10%. But how focused are you on driving that number higher? And do you think that will promote more repeat usage on the platform and maybe later to a higher take rate in time? Thanks.
Joseph Levin: I'll start on Vimeo. I wouldn't rank-order them. I think they all are important and in any given moment, one may exceed the other. But marketing international product, enterprise are the drivers of that and will continue to be the drivers for quite some time. The enterprise early progress is very encouraging for us and we see a significant amount of runway there. Product, when we launch the live product, that opened up a whole bit of ARPU and a whole new segment to the market and that drove growth. Marketing, we've continued to increase and continue to see returns on that and so I think that I'll be disappointed if we can't meaningfully improve our ability to spend more marketing profitably there. Same thing on international. International is a bit of an overlap with marketing because we're not making distort [ph] product for international, we're making disposed [ph] marketing and we're making disposed [ph] kind of interfaces, but that ties into the marketing fees. I'm trying to be helpful in providing a little bit more color, but there isn't a real -- I would say one meaningfully over the other and it moves around. Do you want to do...
Christopher Terrill: Sure. I'll answer it. You'd ask where we were. I think our instant connect in some booking in all of our on-demand products were about 10% rate in terms of all SRs. Obviously, those have a very high win rate and take rate. I think the thing is more interesting is you look in the opt-in product and what does that do over time? How does that change? How our service providers think about these types of products, how does that change? Who engages with it and how does that potentially expand? I think it's still early to see where that goes and I wouldn't be surprised if we some stair step functions in the future coming out of that.
Glenn Schiffman: Chris has always said it's product and liquidity that will create a stair step and the opt-in could be. I talked about the pacing of opt-in. The other thing is to nationalize the progress on opt-in. I think as of August 1, only 15% of our SPs have used the opt-in products. We're pretty bullish around that one.
Christopher Merwin: All right. Thank you.
Operator: Our next question comes from Dan Salmon of BMO Capital Markets.
Daniel Salmon: Good morning, everyone. Joey, maybe could we just first return to Vimeo's competitive sets? You obviously highlighted the big consumer platforms in there as not being the primary set. Could you maybe remind us, do you see as the primary set of those big platforms? I wonder if you do make a carve out for Amazon Video direct, or if you see that more as the mixed media style of model versus the sass path that you're taking Vimeo down a little bit more. And then just a second one for you or Glenn, you highlighted the changes coming in the Chrome browser and potential impact to the application segment. Could you just provide some color on how mechanically you expect that to impact your business and maybe a little bit on the track record that you had reacting to these sort of changes in the Google ecosystem in the past?
Joseph Levin: Sure. All good questions, Dan. Competitors, I think that's a fair point on Amazon. As I understand it, they'd be at more of mega-enterprise level than small business level with that product but I think that is [indiscernible] Google better? When I think about the competitors, the bigger competitors would be Adobe, would be Dropbox to some extent. I think there's a number of very small players that are sort of privately funded that take pieces of our product and focus just one slice of the end-to-end Vimeo solution. We're very focused on each of those to build a product that's better than any particular slice that somebody else can deliver. On applications, the substance of the change, when we distribute our products through Chrome, which are Chrome add-ons, we could distributed them with our own UI historically and our own funnel with the consumer and they're going to be now forced to do all distribution that happens directly through the Chrome Web Store and the substance there that has some conversion implications are business. I think you've pointed out and I agree. We've had issues like this many times in the past and we adapt to the landscape and optimize and figure out how to distribute our product in a way that works for our customers, and our business, et cetera. And I have great confidence in our team. There's ability to do it. It was just amazing when this announcement came out and people got straight to work in figuring out how to deal with it. It was an inspiring thing to see. As far as the numbers, we've talked about $25 million to $30 million for the quarter out of this business for a while. I think more recently we've been closer to $30 million or above $30 million, but I still think that $25 million to $30 million a quarter for this business is a reasonable place to be and something that we would think would be our goal, post roll out of this chain.
Christopher Terrill: There are two other base driving that in addition to the management team's resilience and ability to battle back as they always have. One, our fixed expense base in the desktop applications business is less than 20% of total expenses. Again, our pause structure can endure volatility and still protect P&L. And second, we talked a little bit about in the letter our mobile business. We haven't talked about it on the call. Our mobile business inside of applications and that's really something we all ought to dwell on because that's a real bright spot in that business. We talked about it being 20% of revenue by the fourth quarter. We actually have hit that in the second quarter and we think it will continue to grow as a percentage of the total. We've just passed the million subscribers there. Actually, the path to a million has been quite steep, we added 400,000 in the second quarter and two-thirds and climbing of the mobile business is subscription. So that's a real bright spot in the application, is business, but again, we'll protect the P&L going into 2019 and beyond.
Glenn Schiffman: Thank you. Operator, I think we have time for one more and we'll let everyone get on with their day.
Operator: Absolutely. Your final question comes from Kunal Madhukar of Deutsche Bank.
Kunal Madhukar: Hi. Thanks for taking my question. Question probably around ANGI's. In terms of how much of the service request do you think you adequately provided leads for? In terms of the number of leads and the quality of leads that you ideally think your platform should provide. And second, are there any holes in terms of geos or services or anything else where you absolutely need to add service professionals in? Thank you.
Christopher Terrill: Sure. I'll start with the first. We're constantly -- and I think Glenn said, we've got 200,000 mini-markets that were balancing supply and demand. What's interesting about our business and what's interesting about the scale we have and the sophistication we have is we've gotten better and better over time at identifying where those needs are and then deploying the sales force against them. Part of our quality sales initiatives over that that we put over in the last year, a year and-a-half has been to identify an area and then to incent [ph] the sales team to go after that. If we know we have more demand in that area and less supply, we will go out and try to fill that. It's one of the complications that make this business difficult, but it's also one of the opportunities for us as we get stronger and stronger and better at identifying it and filling that so that we're in balance in all those small markets, or little mini-markets as well as nationally. It's an ongoing process. I couldn't right now, sit down and tell you we need to go get more Roofers in Atlanta, but we probably do and we probably do in lots of places where we're out of bounds, but we go after those and we get it balanced quickly. That's an ongoing part of how we manage the business and why I think we're very good at it.
Glenn Schiffman: There were some interference in the line. Could you repeat your first question? I don't think we got it.
Kunal Madhukar: The first question was with regard to optimizing for again, this hole that you just talked about. One of the numbers that you used to give in the past was the percent of unused ad budgets. Where is that metric today or at the end of the second quarter?
Glenn Schiffman: Thank you. That continues to creep up -- in terms of use, it continues to creep up at 62%, this quarter was 63%. What I said on the last quarter call as you probably recall is that we're more successful on the upsell strategy and increasing tap. That progress may stop and may even go down, but to obviously terrific benefit to the whole ecosystem and our whole revenue profile. So yes, we continue to make progress on that 63%. As again, 62% is up from 57% a year ago. So great progress, but we may be making more progress on increasing overall cap. You saw that, that we talked about in the first question, 31% overall cap growth in the quarter.
Kunal Madhukar: Great. Thank you so much.
Joseph Levin: Thank you, everybody, for joining us this morning, taking part of my birthday party and we will see you next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.
Christopher Terrill: Thank you.